Operator: Good afternoon, and welcome to Offerpad's Fourth Quarter and Full Year 2025 earnings conference call. My name is Kara and I will be your conference operator today. [Operator Instructions] And with that, I'll turn the call over to Cortney Read, Offerpad's Vice President of Investor Relations and Communications.
Cortney Read: Good afternoon, and welcome to Offerpad's Fourth Quarter 2025 Earnings Call. During the call today, management will make forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements are inherently uncertain and events could differ significantly from management's expectations. Please refer to the risks, uncertainties and other factors relating to the company's business described in our filings with the U.S. Securities and Exchange Commission. Except as required by applicable law, Offerpad does not intend to update or alter forward-looking statements, whether as a result of new information, future events or otherwise. On today's call, management will refer to certain non-GAAP financial measures. These metrics exclude certain items discussed in our earnings release under the heading, non-GAAP Financial Measures. The reconciliations of Offerpad non-GAAP measures to the comparable GAAP measures are available in the financial tables of the fourth quarter earnings release on Offerpad's website. With that, I'll turn the call over to Brian Bair, Chairman and Chief Executive Officer. .
Brian Bair: Thank you, Cortney, and thank you to everyone for joining us today. On the call with me today is our Chief Financial Officer, Peter Knag, along with leaders who are central to how we execute and scale in 2026. Rich Ford, our Chief Strategy Officer and President of Cash Offer Marketplace; and Chris Carpenter, our Chief Operating Officer. Each of these leaders owns a core operating function that directly impacts how we allocate capital, drive conversion and deliver returns. Today's call is about 3 things. First, the disciplined capital allocation decisions we made in 2025, decisions that we believe position us for sustainable, profitable growth. Second, how we evolve from a single product company into a 4 solution real estate platform capable of monetizing transactions across the spectrum of capital intensity. And third, how the operational improvements we made in 2025, stronger pricing segmentation, better conversion infrastructure and deeper marketplace liquidity are translating to momentum we're already seen in early 2026. Let's start with the market context. The housing market remains constrained, transaction volumes are below historic norms, affordability continues to limit mobility. Mortgage rates, while moderating, remain elated relative to the prior cycle. Recovery is gradual and uneven. At the same time, nearly half of the listed homes are hitting the market today are over 40 years old. Many of these homes require significant updates to meet modern buyer expectations and mortgage financing standards. Yet homeowners are often locked into low mortgage rates and lacked the liquidity or time to renovate before selling. The combination of agent inventory, capital constraints and limited mobility creates friction and friction suppressive transactions. But friction also creates opportunity for platforms that can step into that gap. That's where Offerpad is deciding to perform. We purchased homes at approximately $370,000 median price, which is right in the heart of affordability for first-time and middle-income buyers. In 2025, we invested an average of $25,000 per home in targeted repairs and renovations, and we delivered move-in ready mortgage eligible homes in established neighborhoods where supply is often limited. We're not just facilitating transactions. We're solving a fundamental market problem, expanding access to quality, move-in ready housing at price points where demand is strongest and supply remains constrained. Now let me talk about what we did in 2025 and why. Our priority in 2025 was not volume. It was readiness. We made a deliberate choice to widen underwriting spreads, operate with tighter risk hard rails and slow acquisition velocity rather than to chase transactions into an uncertain market. Let me be specific about what we saw and why we made that choice. Throughout 2025, the housing market showed intermittent signs of improvement, but the underlying transaction data remains unstable. Existing home sales were approximately 4.1 million units, essentially flat year-over-year and the lowest annual level since the mid-'90s. At the same time, we observed operational signals across our markets. Days on market extended in multiple metros. Price dispersion widened even within the same neighborhoods and buyer cost pressures from insurance to taxes to maintenance increasingly impacted transaction velocity and completion rates. When transaction velocity slows and price dispersion increases, pricing accuracy matters more and margin for error shrinks. That combination triggered our decision to one, tightened by box guardrails and two, increased required contribution margins before deploying capital. Last year, every home competed for capital. If we could not underwrite to a durable risk-adjusted return, we simply didn't transact. Importantly, what we're seeing in entering 2026 is greater pricing clarity. While overall transaction volumes remain constrained, instability has moderated. Days on market has stabilized in several of our core markets, price cuts have become more predictable and inventory growth has normalized relative to demand. We are not calling for a housing surge. What we are seeing is a market that is more measurable and measurability supports disciplined scaling. Over the past several years, the housing market has reinforced a clear lesson. Capital deployed without discipline erodes returns quickly. We chose a different path. In the second half of 2025, we deliberately slowed acquisitions and cleared aged inventory acquired earlier in the year. That decision pressured near-term cash offer margins, but have positioned us to enter 2026 with a cleaner, faster-turning portfolio. As of today, aged inventory that is not under contract has been reduced to fewer than 60 homes, materially lowering aged inventory exposure. Importantly, as of the end of the year, all cohorts across our inventory with the exception of 2 homes are expected to be profitable. As we enter 2026, we are doing so with a streamlined portfolio, limited aged exposure and embedded mark-to-market strength across the majority of our assets. Importantly, while we moderated capital deployment, demand did not moderate. Top of funnel engagement remained consistent. Just in the past few months from November through January, signed contracts doubled up 102%, reflecting stronger downstream execution. December signed volumes increased 71% month-over-month, and that momentum carried into January. In fact, as of mid-February, we signed approximately 305 contracts nearly matching the full Q4 total of 314 with half the quarter remaining. These are measurable leading indicators that we did not lose demand. We chose to align capital more selectively against that demand. At the same time, we learned something important about today's seller. Throughout 2025, we analyzed the outcomes of sellers who came to Offerpad, whether they accepted our cash offer, listed their home, refinanced or ultimately stayed put. What became clear is this. Sellers aren't coming to us for a cash offer alone. They're coming to us for a liquidity solution. They're seeking help understanding trade-offs, time lines and outcomes. That shift is precisely why expanding into a broader multi-solution platform was necessary. We responded by building an integrated conversion engine designed to meet sellers where they are and guide them to the best solution. whether that's an Offerpad cash offer, an external buyer cash offer through our cash offer marketplace or a listing solution. Here's what's materially different today compared to prior years. First, we are no longer a one solution company seeking to attach ancillary services. We are a platform where each solution is designed to generate meaningful revenue and operate at scale. Second, we built the operational infrastructure to convert sellers across these pathways. That means dedicated teams, refined handoff processes and technology that tracks the customer journey across multiple solutions. Third, we're seeing it in our data. Conversion rates are improving. Customers who don't take our cash offer are increasingly staying in our ecosystem by transacting through the marketplace or listing solutions. Now let me walk you through the 4 solutions that makes this possible. First is the cash offer, which remains the foundation of our business. We deliver pricing certainty to sellers, purchase homes, renovate and sell them to buyers. Create a streamlined, reliable transaction from start to finish. Our underwriting today reflects a sophisticated application of decision science, supported by generative AI and machine learning that ensures we are buying the right homes in the right markets at the right time. We're leveraging years of operating data and experience, transaction history and market intelligence to increase pricing precision and reduce risk. In parallel, under the leadership of Dr. Jai Singh, our Chief Pricing and Analytics Officer, we are developing and piloting an integrated portfolio management system that applies AI, machine learning and advanced decision science to optimize the full life cycle of a home, acquisition, hold strategy and disposition. This platform is designed to fuse qualitative property level signals, including images, inspection notes and customer interactions with quantitative inputs such as local micro market dynamics, demand indicators, inventory trends and broader macroeconomic data. By integrating qualitative and quantitative data into a unified decision framework, we are improving precision, increasing consistency and optimizing capital allocation across our cash offer portfolio. Now let me be clear about how we think about our cash offer returns. We're not optimizing for margin per home. We're optimizing for return on deployed capital. On the property level, we target contribution margins in the mid-single digits, but what matters is capital velocity. We're targeting 90- to 120-day turn times which means we can turn the same dollar of capital 3 to 4x per year. When you turn capital that fast at those property level margins, we're generating annualized returns in the 15% to 20% range on deployed capital. That's the right way to evaluate cash offer economics. The business operates with clear guardrails around pricing, risk and capital deployment, but our focus is velocity and returns, not just margin per transaction. Second is the cash offer marketplace. This solution extends external buyer demand beyond our balance sheet by routing homes to a diversified network of professional buyers. Our Direct Plus partners include short-term value-add operators, regional professional investors and structured capital buyers. This diversity is strategic. It deepens buyer demand, increases bid confidence and enhances execution certainty for sellers. By matching homes with the right capital profile for each property and market we are able to deliver more competitive outcomes while maintaining disciplined capital allocation. When you route a home through the marketplace, we retain a 5% average seller paid fee, approximately $20,000 and a $400,000 home without deploying principal capital. Last year, marketplace transactions increased approximately 60% year-over-year. To lead continued growth, Rich Ford joined Offerpad as Chief Strategy Officer and President of cash offer marketplace. Rich brings more than 2 decades of experience building and scaling residential real estate marketplaces. His mandate is to expand and scale this business line. Third is brokerage services. Within brokerage services is HomePro. This is not a traditional listing attachment. It's a premium differentiated listing service designed to deliver a highly curated, value-added experience for sellers who prefer to go to market. When the seller list through HomePro, Offerpad earns a referral fee which averaged approximately $4,500 per transaction in 2025. Within brokerage services, the agent partnership program allows agents to introduce offer pad as one of several options available to their sellers, including the cash offer. Agents remain the trusted adviser, helping sellers evaluate alternatives and determine the right path for their situation. In 2025, approximately 1/3 of cash offer requests originated through agents who include Offerpad as part of the conversation, reinforcing our role as a solutions platform supporting both sellers and real estate professionals. Additionally, we work with homebuilders through our homebuilder program, helping buyers remove sell contingencies on new construction by providing certainty around the sale of their existing home. Together, brokerage services positions Offerpad as a first stop for both sellers and agents with the goal of ensuring each customer is directed to the right solution while improving conversion across the platform. Fourth is RENOVATE. RENOVATE plays a dual role. First, it enables the performance of our cash offer model. As stated earlier, many homes require updates before they are list ready and mortgage eligible. By executing these improvements efficiently and with cost discipline, we return homes to the market in buyer ready condition that meets financing standards. This expands access to quality, move-in ready housing often at price points aligned with first-time and middle-income buyers and supply-constrained neighborhoods. Second, RENOVATE is a fee-based B2B service, generating margins between 20% and 30%. It supports professional owners, operators and Direct Plus partners with targeted repairs and full rehabs, enhancing asset readiness and execution while producing revenue without deploying balance sheet capital. Last year, RENOVATE generated $27 million in revenue, up approximately 50% year-over-year. Led by veteran renovation leader, Bobby Triplett, who has overseen more than 40,000 renovations, the business delivers consistent execution and cost control at scale. In 2026, we're focused on expanding business-to-business partners while maintaining margin consistency and repeat volume. Together, these 4 solutions provide flexibility to support the right path for each seller while operating within our defined capital structure. Importantly, our 2026 framework does not currently assume additional capital. We believe that capital base we have today positions us well to scale transaction volumes drive conversion improvements and return to profitability within that structure. To execute this at scale, we strengthened operating leadership. Chris Carpenter joined as Chief Operating Officer with responsibility to optimize the operating system that drives execution across the platform, end-to-end performance, cross-functional coordination and scalable systems that deliver consistent outcomes within our guardrails. Scaling with defined risk requires more than oversight. It requires repeatable processes, disciplined feedback loops and systems designed to produce optimal outcomes at scale. That is where AI-led decision science becomes foundational. Across acquisition, underwriting, renovation and disposition we are embedding institutional-grade analytics into the core operating model. Powered by more than a decade of transaction and customer data, our system increasingly integrate both structured and unstructured inputs from market dynamics and inventory trends to property level signals to support more consistent, analytically driven decisions. This is not automation for automation's sake. It's about improving return stability. Better precision at entry reduces volatility. Portfolio level optimization improves capital rotation, more disciplined disposition decisions protect margin and enhance balance sheet efficiency. At the Board level, we expand the breadth of expertise to support the continued scaling of our multi-solution real estate operating model with the addition of Tela Gallagher Mathias who brings more than 25 years of enterprise technology and generative AI leadership across the housing, finance and regulated environments. The work we did in 2025 was about readiness. We didn't chase volume, we built infrastructure. We didn't deploy capital indiscriminately. We engineered optionality. The result is that Offerpad today is a different company than it was 12 months ago. Stepping back, what we're building here is a fundamentally different category leader. Not just an iBuyer and more than a brokerage. A housing transaction platform that meets sellers across multiple pathways, deploys capital selectively and generates returns through a mix of principal and fee-based businesses. Our near-term objective is approximately 1,000 transactions per quarter as we exit 2026. It gets us to profitability, improves the operating model at scale. So let me be clear, 1,000 transactions per quarter is not the finish line. It's just the beginning. I'll now turn the call over to Peter.
Peter Knag: Thank you, Brian. As you've heard over the past year and especially in recent months, we've strengthened leadership across our core operating areas, refined our operating model and leaned into a broader product set focused on targeting higher conversion and profit. That clarity is translating into more disciplined capital deployment, tighter cost control and more consistent execution. In Q4, revenue was $114 million with 312 homes sold, bringing full year revenue to $568 million and 1,591 homes sold. Gross margin was 7% for the quarter and 7.4% for the full year generating gross profit of $8 million and $42 million, respectively. While volumes in 2025 were below historical norms, the operating framework and control supporting those transactions are stronger than ever before and we expect this will position us to scale back up to higher volumes driven by our broader product set. Adjusted EBITDA loss for the fourth quarter was $6.9 million. Excluding onetime restructuring and other costs, underlying performance was consistent with the prior quarter. At quarter end, total liquidity was over $55 million, reflecting unrestricted cash plus the estimated fair market value of our inventory and including $27 million of unrestricted cash. As previously announced, we completed an $18 million capital raise early in the first quarter of 2026, further strengthening our liquidity and providing additional flexibility to support increased transaction volumes. Including the $18 million capital raise, our total liquidity was over $70 million. At the same time, the cost structure of the business has fundamentally changed with over $140 million of annualized expenses removed since 2022. Importantly, our cost base can support much higher transaction volumes without proportional overhead growth. That operating leverage is a critical driver of our expected path to profitability in 2026. Turning to the near term. We expect the first quarter to reflect normal seasonality and a measured start for the year. For Q1, we are guiding to 250 to 300 real estate transactions across cash offer, cash offer marketplace and brokerage listings with revenue of $70 million to $95 million in sequential improvement in adjusted EBITDA. Importantly, we believe current transaction volume represents a trough for the business. The low volume experienced over 2025 is expected to be temporary and reflects our strategic expansion into a broader set of solutions. By offering more paths for sellers, we increase the likelihood of engagement and selection which we expect to drive aggregate transaction growth, improved overall conversion and a reduction in customer acquisition costs over time. We've already begun to see increased activity early in the year with transaction pipeline rising meaningfully in the first several weeks of the quarter. Given the natural timing of the acquisition to sales cycle, that pipeline momentum is expected to translate into higher closed transaction volumes over subsequent quarters, supporting growth in volume as we move through the year. In 2026, our expectation is to return to approximately 1,000 home transactions per quarter across cash offer, cash offer marketplace and brokerage services. We expect to reach this goal as we exit 2026. Separately, RENOVATE remains an important revenue engine incremental to the rest of the business. RENOVATE delivered $27.1 million in revenue in 2025. While these projects are service-based B2B transactions and not included in the 1,000 transaction per quarter target, they contribute meaningfully to margin and overall profitability. At these levels of activity and with the cost structure and product mix in place today, we believe the business is positioned to support a return to profitability. Based on our current outlook, we continue to expect to achieve positive adjusted EBITDA within the year. We entered 2026 with a stronger balance sheet, a structurally lower cost base, healthy inventory levels and a broader set of monetization pathway than at any point in recent years. That foundation supports more consistent performance as we scale responsibly across a diversified platform. Importantly, our 2026 operating framework currently does not require incremental capital to execute. We believe our current liquidity position, asset-backed facilities and operating structure fully support our plan to scale within defined guardrails. We remain open to potential capital opportunities if they enhance flexibility lower our cost of capital or accelerate growth initiatives. With that, we are now ready to take your questions.
Operator: [Operator Instructions] Your first question comes from the line of Dae Lee with JPMorgan. .
Dae Lee: Great. I have two. So first one for Brian. So with the AI expertise you've added across the board and management, where are you most excited to see the impact of AI in your business? Which P&L line should we expect to show -- to see that show up first? And secondly, to Peter, could you walk us through the bridge from first quarter 2026 transaction volume to the year-end target? And if there's any like step-up or proof points that we should be watching through the year? And if that rise should be steady? Or do you expect more of a back half ramp as you go into 2027?
Brian Bair: Peter, do you want to take the first one? I'll take...
Peter Knag: Sure.
Brian Bair: Yes, sorry, start with the second one.
Peter Knag: Sure. So we're ramping. I mean, we've effectively given full year guidance, right, at 1,000 transactions per quarter as we exit. So that means that on a run rate basis as we exit, we'll get up to that level. We've guided towards 250 to 300 real estate transactions and just reclarifying that we're moving now to a focus of 3 product focus across the cash offer, the cash offer marketplace, which is when we're selling homes, underwriting and selling to an investor and three, traditional list product as well. So we are not giving guidance for second quarter and third quarter. But what I'd say today is we expect a fairly -- roughly linear growth trend as we move from in the neighborhood of 100 transactions per month up to just above 300 transactions a month across a broader product set of three products instead of one.
Brian Bair: Yes. And then I'll take -- Dave, I'll take the AI. Listen, AI is such a powerful tool. I'm excited in a lot of different areas there. But specifically, the real estate operations and the power of AI, what we're working on there as far as pricing, pricing sensitivity. We have 10 years of data that we can pull from property inspections to likely sellers to it's just phenomenal what -- over the last 10 years of what AI can do with that. And so the data that we have in place but also just as we work through the process of -- from the disposition process of when to sell, how to sell, how to look at those things differently. But there is -- like I said, the real estate is really impactful. But we're also seeing immediately, we're seeing some really good impact in just something very simple is through AI voice scheduling inspections. We schedule hundreds and thousands of inspections throughout the year. We've had a lot of labor either outsourcing it or overseas or having large internal teams. And with the ability of AI voice, we can now schedule inspections to have our call center Q&A, people can call and ask questions about where they are in the process. So -- and the other thing I'll just add about AI is that it's across the company. Even just our individual employees using that in their day-to-day life on that is I think it makes them 60%, 70% more efficient. So there's a lot of opportunity we really excited about there.
Operator: Your next question comes from the line of Ryan Tomasello with KBW.
Ryan Tomasello: Starting with the real estate transaction targets for the year. Can you give us a sense of what mix you expect for traditional cash offer products to comprised as you kind of march towards that 1,000 target per quarter. And more near term here, what's being baked into the 1Q guide for real estate transactions in terms of that cash offer mix?
Peter Knag: Sure. Yes. So we -- Ryan, so we have been, as we've talked about before, it depends on the month and the quarter but somewhere in the neighborhood of 1/3 of the transactions are -- have been across Direct Plus. And 2/3 through cash offer. Now we have three products, not primarily one or two. As we roll out, as we focus really equally across three products. We expect that mix to move up towards eventually to 50-50 range. Again, it will change month-over-month. But that's the effectively where we expect to go.
Brian Bair: Yes. So I think -- Ryan, I think you're going to see 2/3, 1/3 as we begin here. But like Peter said, we're focused and the -- our focus really is what's going to provide seller with the best solution, whether that's a cash offer from Offerpad or one of our partners or the listing side. So we're going to work towards 50-50 and figuring out what the best solution for them is. And so as we focus on every day, everyone that comes to Offerpad, we want to provide -- we want to have a solution for them and be able to convert them into one of our solutions. .
Peter Knag: I'd just add one more thing, Brian. Just to that, we are in our trending schedules on the IR side, going to begin breaking out volumes -- we already have cash offer and RENOVATE, we're going to have third KPI with volumes for the other 2 products. And then just finally, as you think about the quarters, we're not guiding specifically to the mix for first quarter, but you can look at the percentages. And then I'd add for fourth quarter, we -- in addition to the homes sold number that we disclosed, there were over -- were between 50 and above 50 transactions across the other services.
Ryan Tomasello: Okay. I appreciate all that color. And then you guys have obviously done a really nice job executing on the expense efficiency side. I guess as you think through your 2026 operating framework here, how much more wood is there still left to chop on the expense side? And how dependent is the breakeven EBITDA target on continuing to drive down on the OpEx side of the P&L?
Brian Bair: Yes, for sure. I mean, first, I'd point out, we've done a lot there. If you just look at -- and so part of expenses is we will continue to march forward and take out additional expenses . If you look at Q4 '25 versus Q4 '24, operating expenses came down from $24 million to $15 million, so $9 million there. Again, we will continue there was an additional risk and some actions in fourth quarter. There's some third-party spend that we can need to look at, one that's a fairly large item that we're hoping to execute across. So there will be more there. I just want to highlight that we've already come a long way. So as we look at the -- taking the operating contribution from a cash flow perspective down to 0. We've done a lot of it already. The biggest piece that's left is to take up the transactions up towards 1,000 transactions per quarter. .
Peter Knag: And Ryan, one thing that I'll add to that is with what we're looking at as we build and scale the company again, scale it differently and smarter and obviously, with the power of AI and technology, the ability of what we can do as we continue to grow. The 1,000 transactions is our first short-term goal and then after that, but to scale it through AI and technology is something we're going to be focused on.
Operator: [Operator Instructions] Our next question comes from Gaurav Mehta with Alliance Global Partners. .
Gaurav Mehta: Yes. I wanted to ask you on your comments around 4 solutions platform. And maybe get some color on how you view revenue allocation from each of those solutions, maybe near term and short -- long term? .
Peter Knag: Sure. Yes. So this business is all about conversion. And by -- there's 3 solutions that are solutions for our home sellers. And again, we're really pivoting from mostly focusing on one solution to three. And by doing that, we expect that conversion will climb materially. One of the big focus areas of our Chief Operating Officer, has joined is conversion across our portfolio. We have, in any given month, somewhere between at 10,000 and 20,000 home sellers top of funnel and to get to the 1,000 transaction mark per quarter, we need to increase conversion by just around 1%. So it's not a huge amount when you look at it from that perspective. And then just to round out your question, it's really 3 products that are focused on the home seller and conversion that are that homeowner B2C transaction and our fourth product is really a separate product line, it's related. It's our renovation business where we renovate real estate assets, single-family homes that are owned by other third parties. .
Gaurav Mehta: All right. The second question I want to ask, you made big picture, there have been some talks about government restricting institutional investors from purchasing single-family homes. And just wanted to get some color if that impacts your business at all directly or indirectly. .
Brian Bair: Yes. So as far as from the Offerpad perspective, we own home short term. So we're aligned with how they're thinking is the home ownership side. That's what our -- that's the mission of our company from day 1. So definitely aligned on that. From an Offerpad perspective, we buy, renovate and sell homes and put a better home on the market within a very short period of time. As far as our cash offer marketplace, there's 2 ways to look at our Direct Plus partners in there. We have long-term investors, which think of the rental funds that we have short terms. And on the short-term side, you'll see everything -- think of more fixed and flip to partners in there that will have a different kind of cash buyers or a cash offer for the seller. So they'll get 80% of the money upfront. And then be able to have some of the -- to share some of the upside. So from the long-term investment side, obviously, we're watching that closely. But what we have focused on in the last year is adding a different array of cash buyers in there. And so have hundreds of different kinds of cash buyers in there. That's so for example, if one segment slows down for any reason, we're going to have another segment that can pick up that volume. And so obviously, we're wanting it closely. But I do like just overall, I think the focus on affordability and the home ownership is, I think it's key for operate, it's something we believe in.
Operator: There are no further questions at this time. This concludes today's conference call. You may now disconnect.